Operator: Good morning, and thank you for holding. Welcome to the Conn's, Inc. conference call to discuss earnings for the fiscal year ended January 31, 2015. My name is Karen, and I will be your operator for today. [Operator Instructions] As a reminder, this conference call is being recorded. The company's earnings release dated March 31, 2015, distributed before the market opened this morning and slides that will be referenced during today's conference call can be accessed via the company's Investor Relations website at ir.conns.com. I must remind you that some of the statements made in this call are forward-looking statements within the meaning of the Securities and Exchange Act of 1934. These forward looking statements represent the company's present expectations or beliefs concerning future events. The company cautions that such statements are necessarily based on certain assumptions which are subject to risks and uncertainties, which cause -- could cause actual results to differ materially from those indicated today. Your speakers today are Theo Wright, the company's CEO; Mike Poppe, the company's COO; David Trahan, the company's President of Retail; and Mark Haley, the company's Interim CFO. I will now turn the conference over to Mr. Wright. Please go ahead, sir.
Theodore Wright: Good morning, and welcome to Conn's Fourth Quarter and Fiscal 2015 Earnings Conference Call. I'll begin the call with an overview, and then Mike will discuss our credit segment further. Mark Haley will complete our prepared comments with additional comments on results in our balance sheet. Despite steadily tightening credit standards over the last year and improvements in collections execution, credit segment performance for the year did not meet expectations. Over the last 5 months, seasonally adjusted delinquency performance did, however, provide evidence of stabilization with over-60-day delinquency declining. We reported a 50 basis point decline in over-60-day delinquency in February. We expect another decline in "greater than 60 day" delinquency in March. Last year's reported performance was a disappointment, and we are working to improve performance in the credit segment through better execution and oversight. The board introduced a number of initiatives last quarter to provide additional oversight. The following is an update on these activities. The board established a credit risk and compliance committee responsible for reviewing credit risks, underwriting strategy and credit compliance activities. The committee is supervising an independent evaluation of underwriting standards and collections performance. This evaluation is underway and progressing well. The board also approved additional positions to augment the management team. An individual has been identified for the position of Chief Risk Officer to assist in analyzing and assessing credit risk. Additional search activities for senior leadership are underway, with a search firm engaged. Candidates are identified and being interviewed. In October 2014, we announced that our Board of Directors authorized management to explore a full range of strategic alternatives to enhance value for shareholders. The Board of Directors has authorized management to actively pursue the sale of all or a portion of the loan portfolio, or other refinancing of our loan portfolio. The transaction being pursued is not a separation of the credit business or an exit from the credit business but a sale of assets. I would like to thank our advisers, potential partners, the board and others for their help in this process. The process was collaborative, and management is enthusiastic about the possibility of executing our plan. We believe this presents the best strategic approach to creating additional value. Sale of the portfolio could provide additional financial flexibility. Sale of the portfolio with an ongoing arrangement to fund receivables would significantly change the capital intensity, returns on capital and predictability of short-term results. Turning to current retail trends. February same-store sales were down 5.8%. Preliminary indications are March same-store performance will be similar to February. For the first half of February, same-store sales were positive. Trends for mid-February to mid-March were solidly negative and have improved since mid-March. I'll comment on the impact of the port situation in a moment. In the fourth quarter of fiscal 2014, we opened 8 stores, 4 stores opened in January 2014. These stores are in the comparison base in Q1 of fiscal 2016, and we're comparing against grand opening sales. Comparisons will ease over the quarter and be less challenging in Q2 and later quarters. The most disappointing sales trend is in television. Television sales trends have been consistently good during promotional periods like Super Bowl, March Madness and Black Friday. Outside of these periods, television sales trends have not been as strong. For February, as an example, 49% of our television sales were UHD or 4K televisions. When customers have a need or a desire for a new television, the value of the product is compelling, but we've not been able to generate sustained traffic for the category. Thus far, we are not seeing the hoped-for replacement cycle. Our higher underwriting standards have minimally affected existing customers' approval rate. In the fourth quarter of fiscal 2015, stores opened in the last 2 years originated 69.5% of loans to new customers. All other stores originated 33.5% of loans to new customers. The impact of underwriting changes has reduced sales rates more at newer stores than in our more mature markets. Combined with cannibalization from new store openings, this is particularly effecting Arizona and New Mexico stores. We're pleased with our sales performance overall in these states and are solidly profitable there. Keep in mind that we're able to charge higher interest rates in Arizona and New Mexico. In our February sales release, we commented on the impact of the port situation on our sales, particularly furniture. We felt the impact in Q4 and commented on it earlier, but the impact was not as extensive. To help understand how we've been affected: More than 70% of our appliance sales in fiscal 2015 were LG- and Samsung-branded appliances. Virtually all of our furniture in all categories is imported or includes a significant percentage of imported components. Historically, almost all of our imported products have come through West Coast ports. Some vendors shifted flow to the East Coast, but unfortunately, the rapid increase in volume in these ports created delays as well. Generally, higher-value shipments can gain priority in both berthing and handling once in port. Case goods and complete upholstery or leather furniture have less value per container. Over the last several years, we've changed our sourcing strategy and have increased gross margins, but we are more exposed to supply chain issues. Appliances were less affected than furniture because of the lower number of SKUs, higher unit sales per SKU and a larger scale of our vendors. Appliances are also more fungible than furniture. Product flow is now improving in all categories, although delays remain. Our most recent conversations with vendors indicate continued improvement with flow, back to normal in 30 to 90 days, depending on the vendor. To date, it is difficult to determine the potential impact of lower oil prices on our business. Houston continues to outperform other mature markets. Stores in oil- and gas-producing areas like Laredo, Odessa and Lubbock are a mixed bag, with some on strong, positive trends recently and some not. Evaluation is complicated by the effect of grand opening periods. We do expect stores in our oil-producing regions to be negatively impacted by sustained lower oil prices, although that's a relatively small number of stores. Markets like Houston and Dallas are less visible, with no negative performance yet apparent. Lower gas prices are helping reduce the cost of living in all of our markets. Weather was a factor in our sales performance in both February and March. As an example, Dallas, our second largest market and responsible for about 16% of total sales, was completely closed a number of days and we were not able to move product from our warehouse. Turning to our retail operations in the fourth quarter of fiscal 2015. On Slide 1, we show product gross margins by product category for the second quarter. On Slide 1 is also gross margins by product category for the year. Total retail gross margin percentage for the quarter was 39.5% and right in line with our forecast of from 39% to 40%. The decline in margins from the -- for the quarter from the prior year result is principally from changing annual programs with key vendors. Fourth quarter a year ago benefited from the exceptionally strong sales in the back half of 2014, which impacted vendor programs. We have worked with our relatively small group of key vendors to develop pricing structures that deliver consistent margins with lower quarterly volatility. Gross margin for the full year increased from 39.9% to 40.5% despite the impact of additional warehousing costs on fiscal 2015. For the year ended January 31, gross margin percentage of 40.5% was above our long-term goal of 40%. We are revising our gross margin goal to 42%. We believe this goal is achievable with decreasing share of revenues from electronics, increasing sales of furniture and mattresses, improving warehouse utilization and better material handling, with a reduction in related scrap or discounted sales of products. On Slide 2, you can see a 5-year trend in furniture and mattress sales. Same-store sales of furniture and mattresses increased 4.7% in the fourth quarter, on top of the increase a year ago. For our new stores, sales of furniture and mattresses are about 34% of the total in the quarter. Completion of our relocation and remodeling program, along with store closures and new store openings, should increase the share of sales from these categories. Our average store retail square footage is now 32,000 feet, supporting the ability to effectively compete as a furniture retailer chainwide. The company set a longer-term goal of 35% of sales from furniture and mattresses. We're making progress towards that goal and are now raising our goal to 45% of product sales. To support achievement of this goal, we have over the last several years expanded warehouse capacity, expanded our average store footprint, improved and expanded the assortment and improved in-store presentation. To comment now on retail expenses. As shown on Slide 4, increased advertising expense is responsible for most of the SG&A increase over a year ago. In calendar 2014, we opened 22 new stores in 14 new DMAs or marketing areas, including a number of larger high-cost DMAs. For fiscal 2016, we have an -- agreements in place for 14 new locations. Of these, 11 will be in existing DMAs. We do not plan to open a new major metro area with higher media costs in fiscal 2016. Store opening plans for fiscal 2017 will also include a high percentage of locations in existing markets. Advertising expenses increased, with the store opening pace offsetting much of the operating leverage from increasing sales. As we build out markets and the customer base matures, we expect advertising expenses to decline as a percentage of sales. Given planned store growth, we don't have or expect advertising to return to historical lows. Advertising expenses in mature markets are about 4% to 4.5% of sales today and are very much in line with historical lows. The impact on sales of supply chain problems with West Coast ports also had a minor impact on advertising leverage in the fourth quarter. Execution in our newer stores and markets needs to improve, particularly with employee training and turnover. Overall sales for the fourth quarter did not fully meet our expectations. As sales mix shifts away from electronics, SG&A expenses will likely be pushed upward as a percentage of sales. Advertising expenses for furniture and mattress retailers in particular are typically higher than for electronics. We're offsetting some of the increase with greater efficiency and scale, but we don't expect we can achieve our planned furniture sales performance with advertising expenses near historical lows. More of our sales are delivered to customers' homes. Furniture deliveries are about 50% more expensive per delivery than appliance or electronics deliveries. Delivery cost is included in our SG&A, as you see on Slide 4, and is responsible for a significant portion of the increase in SG&A. Transportation costs have also increased, as we've added locations in smaller markets without warehouses. Some retailers, although not all, include delivery or transportation in cost of sales. Our inclusion of delivery and transportation in SG&A may contribute to a false impression of higher gross margins and higher SG&A for Conn's and competitors with similar product offerings. Retail SG&A other than advertising has been well controlled. We've gained operating leverage on corporate overhead and compensation. Our expense challenges are largely confined to advertising, and our store opening plans should address these challenges over time. Changes to the timing of expense related to our health care plans also negatively impacted the fourth quarter by about $0.01 per share. We plan to open 15 to 18 stores in fiscal 2016. Signed leases and purchase agreements are in place for 14 stores expected to open in fiscal 2016. We continue to pursue opportunities for new locations in accordance with prior plans for fiscal 2017. Turning to the regulatory environment. The CFPB recently released information on their proposed regulation of payday and other lenders. We believe these regulations, if implemented, would not impact Conn's. Please keep in mind these are preliminary proposals and final regulations could impact Conn's. As specific examples, Conn's does not charge more than 36% interest, including fees and add-on credit products, in any jurisdiction. We do not automatically withdraw payments from customers. We not provide financing to customers who are delinquent. We underwrite each loan, assessing ability to pay, and our business model is dependent on a low for subprime default rate. We expect to be subject to the CFPB's regulation at some point and regulation may have an impact on our business, but we provide a low-cost, customer-friendly alternative for credit-challenged consumers. We've recently taken other steps to improve the customer experience and ensure compliance with expected future required collections practices. While we're happy to have physical -- fiscal 2015 behind us, we're looking forward to a bright year in 2016. The port situation is, hopefully, a temporary disruption, and delinquency is declining sequentially. The causes of the credit deterioration are increasingly clear, and we're taking steps to improve performance. Many of the necessary changes or enhancements are in place or underway. Goals for gross margins and furniture sales have been raised, and we believe we can progress towards these goals in fiscal 2016. Despite the volatility and performance over the last year, management and the board are committed to the business and its potential for growth. I've had the pleasure, over the last several months, of spending time with associates and customers. Some of the customers I've spoken with have made 5, 10 or 15 purchases from Conn's. Our customers understand and value Conn's credit offering, and they're well aware of their alternative sources of financing. The interest rate and terms for Conn's customers are attractive for our core group of customers. The option to pay 0% interest, given our core customer's credit history, is highly valued. Our associates are committed to providing value to our customers through competitive pricing, branded products and our unique credit offering. On our team are associates that have been with the company for many years. We offer a great, long-term career path for retail associates. Conn's business model provides a sensible alternative for subprime finance for consumers and a compelling overall value. Now I'll turn the call over to Mike. Mike?
Michael Poppe: Thank you, Theo. Starting with underwriting. On Slide 5 is our average FICO score on the portfolio for the last 5 years. The portfolio has been in a narrow range of credit scores and remained there in the last quarter. In late fiscal 2014 and throughout fiscal 2015, we made changes to our underwriting to reduce risk. These changes are shown on Slide 6. Although we did not make any individually significant changes after Q1 of fiscal 2015, we made a number of minor changes that reduced originations to lower-credit-quality customers. These changes will affect fiscal 2016 sales comparisons but at a decreasing rate over the year. The total impact of these underwriting changes is estimated to have reduced the sales rate by 5% to 7% compared to the fourth quarter a year ago. Beginning in late October of fiscal 2015, we started originating 18- and 24-month no-interest loans to customers with prime credit scores. As of February 28, 2015, 18- and 24-month no-interest consumer loans represented 3.3% of the total portfolio, and we expect this percentage to increase over the next several quarters. The average FICO score of these loans at origination was 697. Originations to these customers is expected to add 6 to 8 points to our average score underwritten and should benefit static pool loss rates by about 50 basis points when fully seasoned into the portfolio. The FICO score underwritten in Q4 of fiscal 2015 was 611 compared to 605 in Q4 of fiscal 2014 and 608 in Q3 of fiscal 2015. Last quarter, we said we would continue to evaluate our underwriting standards. We decided, as a result of this ongoing evaluation, to stop selling gaming hardware, cameras and certain tablets. See Slide 7 for our delinquency data by product category. The combination of lower-than-average gross margins on sales of these products and much higher-than-average credit losses on the related consumer loans does not deliver acceptable returns on capital. We sold $50 million of these products in fiscal 2015, representing 3.8% of total product sales. Sales of small electronics is seasonal, with 39% of the total sales of the discontinued products occurring in the fourth quarter. We do not expect a significant impact to Q1, and the discontinuation will not be fully implemented until mid-third quarter. Our internal evaluations of underwritings have not identified other underwriting changes we believe are necessary to achieve our objectives at this time. The company has engaged Fair Isaac, FICO, to review and update its risk scoring model and provide a more advanced tool for first-party fraud detection. This engagement may yield additional changes to underwriting. As Theo mentioned earlier, the credit risk and compliance committee is supervising an independent evaluation of underwriting standards. The process is underway but not complete and may result in additional changes to underwriting. Now to discuss static loss trends. We are pleased to report that fiscal 2013 static pool losses appear to be finalizing in line with our earlier projection at around 8.6%, with runoff accelerating. Going back a year, many suggested the losses on this pool could be 12% to 15%. As we have discussed on several previous calls, the fiscal 2014 origination static losses will be elevated, and we now expect these to be around 10.5% based on current collections trends. Our prior expectation for fiscal 2014 static loss was 9.5%. Our expectation for loss increased primarily because of our assessment of the impact of tighter re-aging standards and reduced account combinations. We've evaluated the remaining balances and recent changes in runoff patterns. We believe our revised estimate is consistent with fiscal 2013 pool performance after consideration of changes in collection policies and policies related to account combinations and re-aging. There have been others with the view that static losses could be far higher, 15% or more. We do not believe this is realistic based on the current condition of the portfolio and the fact that roughly 80% of these accounts have never been 60 days past due. A 15% static loss rate for fiscal 2015 pools would require delinquency to rise dramatically in the near term given the short remaining life to this pool, one of the reasons we began reporting delinquency monthly. Recent periods of reported static loss rates are affected by our decision to see sale of charged-off receivables. This has impacted live, to-date [ph] reported static loss for 2014 by approximately 20 basis points and 2015 by approximately 10 basis points. Future periods will be affected by this change as well, although we expect longer-term recoveries of charged-off accounts and their impact on terminal loss rates to be in line with historical averages. Additionally, I would note that the change is impacting near-term quarterly charge-off rates by approximately 80 to 100 basis points. Fiscal 2013, '14 and '15 are now benefiting from account combinations; that is, combining newly originated accounts with existing accounts. This is for existing customers and is returning closer to our historical pattern. It is important to understand that, when applying for new purchase, the customer must satisfy all underwriting requirements, including being current on their existing accounts. We expect the impact on fiscal 2014 and '15 balance runoff from account combinations to trend towards historical patterns in periods prior to fiscal 2012. Fiscal 2015 origination static loss should trend down from fiscal 2014 because of tighter underwriting standards and improved collections execution. We have tightened underwriting in a series of steps, with the impact to low score originations shown on Slide 8. Loss rates are expected to decline over the year, with later months' originations in fiscal 2015 expected to outperform earlier months'. The proportion of new versus existing customers increased in fiscal 2015 compared to fiscal 2014. This will offset some of the benefit of improved collections performance and tighter underwriting. The proportion of new versus existing customers has been trending downward since Q3 of fiscal '15 and is expected to decline in fiscal 2016 compared to fiscal 2015. One cause of the deterioration in static losses for fiscal years 2013 through 2015 has been increasing relative loss severity. Re-aged accounts as a percentage of the portfolio increased 30 basis points from the end of Q3, similar to the increase for the same period a year ago. Accounts re-aged have remained stable over the last 12 months, as compared to delinquent balances, which is the eligible population for re-aging. Accounts re-aged as a percentage of the last 12 months' average 30-plus-day delinquency balance was a monthly average of 118% for fiscal 2015 compared to 120.5% in February of fiscal 2016. Simply put, if delinquency is higher, then re-aged accounts will be a higher percentage of the portfolio. Having said that about re-aging, the reason for increased severity is charging off earlier in a loan's life. Some of the increase represents the higher likelihood of first payment default and default early in loan life for new customer accounts. Excessively restrictive re-aging policies cause both severity and rate of charge-off to increase. We have modified our re-aging policies to make them somewhat less restrictive, with the most significant change to allow re-aging more frequently. Until May of last year, we did not allow a second re-aging event for 6 months after the initial re-age. Without a minimum payment opportunity on our fixed-payment installment loans, like is available on revolving credit, customers often could not resolve delinquency until their account had been past due for many months, at which points many customers have prioritized other obligations ahead of their Conn's account, making it more difficult to cure their past due status. Many re-aged customers will ultimately pay their account in full, and payments received will reduce severity as the account charges off. Our reaging policies remain much more restricted than prior to fiscal 2012. The total number of re-ages is still limited, and we do not allow re-aging without a meaningful payment by the customer. Our long-term goal is to deliver a static loss rate of 8%. The changes we have made in underwriting, increased originations to prime-rated customers, improvements in collections operations and policies and changes in customer and product mix should help us move towards that goal. In the fourth quarter, total originations grew 22% over the prior year fourth quarter compared to a growth rate of 52% a year ago. In February fiscal 2016, the portfolio balance declined. March balances will grow only slightly or be unchanged from February. Slower portfolio growth is benefiting the underlying performance of the portfolio but has a negative effect on reported delinquency rates. The proportion of originations to new customers, customers who have made few or no payments and sales rates in our electronics categories are all declining. The average age of the portfolio is increasing. All of these factors should benefit portfolio performance over time. A year ago, our collections operations were under extreme stress from portfolio growth. Rapid growth in the workforce led to high turnover rates and a workforce with minimal tenure. At the end of February a year ago, 43% of collection agents had more than 6 months tenure at Conn's, and a large percentage of supervisors and managers were new as well. At the end of February of fiscal 2016, 68% of collections agents have tenure of more than 6 months. All of our managers have 2 or more years of tenure today. And senior leadership for the collection operation hired or promoted in fiscal 2015 also has had time to season. Portfolio growth and staffing needs have become more predictable, and we believe the team is well positioned to execute our growth plan. Our collections infrastructure has seasoned as well. Although not perfect, our collections technology infrastructure is much improved and stable. The changes to our technology are providing enhancements in controls, effectiveness and efficiency. Our objective is to improve execution over the course of the year. Sustained improvement will be needed before the provision rate and related reserves will decline. We do not expect a decline in reserves in Q1. First quarter of fiscal 2016 delinquency will be down compared to the fourth quarter of fiscal 2015. March "greater than 60 day" delinquency is expected to be down compared to February. We have remained focused on achieving and maintaining appropriate staffing levels and improving underlying credit quality of origination and will continue to identify opportunities to improve execution and credit quality. Now I'll turn the call over to Mark Haley. Mark?
Mark Haley: Thank you, Mike. Before I get to my commentary, I would like to highlight a few changes to our financial statements. On the income statement, you will note that we are showing delivery, transportation and handling costs separate from the rest of the SG&A expenses. As Theo mentioned, within the retail industry, there is diversity in practice in what costs are included in cost of sales versus SG&A. Separating these costs provides more transparency to our expenses to allow an easier comparison to others. On the balance sheet, we are showing deferred rent as a separate line item within long-term liabilities, which resulted in a reclass of prior year current liabilities to long term. Deferred rent is made up of 2 items: first, tenant improvement allowances received from landlords, which we are showing separately on our cash flow statement when received and are amortized as a reduction to the rent expense over the lease term; second, deferred rent which is the result of the difference between rent expenses recognized on a straight-line basis and rent payments on leases that have escalating payments during their lease term. These changes do not impact the income statement or any financial covenants and were made to provide additional transparency. Turning to the financial performance for the quarter, starting with the retail segment. Total retail revenue was $351.7 million for the fourth quarter of fiscal 2015, an increase of $49.6 million or 16.4%. This growth reflects the impact of the net addition of 11 stores over a year ago and an increase in the same-store sales of 1.3%. Retail gross margin was 39.5% for the quarter, a decrease of 110 basis points from the prior year period. Delivery, transportation and handling costs were 3.9% as a percent of total retail revenue for the quarter compared to 3.7% for the same period a year ago. Retail SG&A, excluding delivery, was 22.8% for the quarter compared to 20.8% for the same period a year ago. During the quarter, we recognized $2.1 million related to facility closures, professional fees associated with our review of strategic alternatives and the class-action lawsuits and severance costs compared to a $0.7 million benefit a year ago due to adjustments to facility closure costs. On an adjusted basis, retail operating margin decreased from 16.3% in the fourth quarter of last year to 13% in the fourth quarter of fiscal 2015. For the credit segment, revenues increased due to the growth in the portfolio as yield was flat to last year at 18.2%. Credit SG&A expenses for the quarter increased 24% year-over-year also due to the growth in the portfolio but were down as a percentage of the average portfolio balance outstanding to 8.6% from 9% last year. The provision for bad debt increased $20 million from the prior year to $58 million. The increase resulted from several factors, including a 30.7% growth in the portfolio balance, a 23% increase in origination volume compared to the same quarter last year, a year-over-year increase in the 60-plus-days delinquency due to deterioration in customer credit quality after origination, the accelerated pace of realization of credit losses and $2.8 million increase related to a 6.5% increase in balances treated as troubled debt restructurings. Interest expense rose $4.8 million on increased borrowing and a higher effective interest rate due to the senior notes issued in July of this year. Turning now to our balance sheet and liquidity. As of January 31, 54% of our $159 million in inventory was financed with outstanding accounts payable. Our inventory turn rate was approximately 5.2 for the year. Inventory levels seasonally declined from October to January and declined further in February, impacted by the port issue discussed by Theo. Turning now to Slide 9. Total debt was $774 million at January 31 or 57% of the total customer portfolio balance. At the end of the year, we had $529.2 million of borrowings outstanding under our revolving credit facility, including standby letters of credit issued, with a total of $350.8 million of total borrowing capacity available. Since the end of the year, we have paid down our revolving credit facility by another $50 million due to the benefit of the tax refund season. As of July 31, we are well within compliance of our debt covenants. Our cash recovery rate was 4.78% compared to 4.82% a year ago, well above the required minimum level of 4.49%. Based on current facts and circumstances, we expect to remain in compliance with our debt covenants. And we believe we have sufficient liquidity for the foreseeable future. For the first quarter of fiscal 2016, we expect the percent of net charge-offs to the average outstanding balance to be between 12.5% and 13.5% and interest income and fee yield to be between 17% and 17.5%. The yield is impacted by the growth in our 18- and 24-month no-interest programs, as well as the elimination of certain fees previously charged to customers. For the full fiscal year 2016, we expect change in same-store sales to be flat to up low-single digits and retail gross margin to be between 40% and 41%. We plan to open 15 to 18 new stores, with the closure of 2 stores. I will now turn the call over to the operator to begin the question-and-answer portion of our call.
Operator: [Operator Instructions] Our first question comes from the line of Peter Keith from Piper Jaffray.
Peter Keith: So just a couple of clarifying questions. Theo, when you're highlighting that you're going to actively pursue the sale of the loan portfolio, I just want to be clear that you guys at this point fully intend on keeping the underwriting in-house, instead of just selling off the existing portfolio. Are we interpreting that correctly?
Theodore Wright: Credit is Conn's competitive advantage, so our intention is to retain the ability to originate and service accounts in any circumstances. The form of a transaction we enter into could vary, but fundamentally, it includes Conn's retaining the ability to originate, underwrite and service consumers' accounts.
Peter Keith: Okay, yes. Makes sense. Looking at your guidance outlook for the same-store sales or the comps to be flat to up low-single digits. I was just wondering if you could talk about some of the positive drivers, because there's some concern that you guys will have difficulty comping this year, you still are tightening credit, at least for the first half of the year. You probably will have some cannibalization with new store openings, now you're exiting some product categories. Could you just get us a little more comfortable on how you're thinking about the positive comp trend for the year?
Theodore Wright: You bet. First off, we had cannibalization last year that affected the comparisons that was pretty similar. A lot of the stores opened in markets where we were already open, like Tucson and Albuquerque. So the cannibalization effect is not new to us and we've commented on that over a number of quarters. We also tightened underwriting, beginning actually in the fourth quarter of fiscal 2014. So many of the most restrictive changes to underwriting are already behind us. And those most strongly affected the stores that are going to roll into the comp base. In addition to that, we exited lawn and garden a year ago that affected comparisons last year. So those are some of the positive considerations. The other positive considerations are if you look through the trends related to supply availability, we think we have the ability to comp strongly positive in the appliance and furniture and mattress categories. And with increasing strength over the course of the year. That has to be proven out, but it's our view that we have an opportunity in those categories with the right availability and the right store execution to deliver strong positive comps in the back half of the year.
Peter Keith: Okay, that's helpful color. I appreciate it. Also, just for Q1, with the port delays negatively impacting comp, should we think about that as lost sales entirely, or does some of that just take some time to deliver and could actually show up in the second quarter?
Theodore Wright: More of those sales would be lost as opposed to delayed, but there are a number of those sales that will be delayed. We have an unusually high balance in what we have right now, that are sales that have been written, but not yet delivered to the customer. And assuming that product flow improves reasonably quickly, there will be some sales that we're able to complete that have already been written, but not yet delivered to the customer, which is when we recognize the sale on our financial statements.
Peter Keith: Okay, great. One last housekeeping question. For  the mark stats around comp and delinquency, would we expect to get those this week on, potentially Thursday?
Mark Haley: That will happen on April 9, Thursday.
Operator: Our next question comes from that line of Brad Thomas from KeyBanc capital.
Bradley Thomas: I wanted to just follow-up on the question, first about the sale of the loans. I was wondering if you could share any insights into how much appetite or liquidity it seems that there's in that marketplace today, and what kind of a discount you all have historically seen when you've sold some of your loans?
Theodore Wright: We have not sold active accounts in the past, so we can't give you a perspective on those active accounts. I'll give you some thoughts -- this is Theo. I'll give you some thoughts on demand, and then Mike can comment on some of the inputs and the -- potentially valuing the portfolio. But that's one of the reasons we arrived at this alternative was there was apparent interest in the assets and that interest was strong and from multiple parties, so that was a consideration that drove us in this particular direction. And I'll let Mike comment on some of the inputs and the valuation.
Michael Poppe: And just at a high-level, probably the key thing to think about from the discount is, we have nearly 12% in reserves against the portfolio on the books. So at a 12% discount against the face, there would be no P&L impact to a sale of the portfolio. When you think about the runoff of the portfolio, the yield in the portfolio, x charge-off, but net of no-interest programs is about 19.5%, with a face APR of about 22% and then some fee income on top of that, with cash options at roughly 30% of the portfolio balance starting and then running off over a 12-month period with about 40% of those customers realizing the benefit is how you get to that yield. And it assumes that there is somewhere in the mid-teens, low- to mid-teens range and charge-offs to incur on the book, that is -- would be if you're booking at January 31 portfolio balance. And most of the -- and the biggest -- a high percentage of the portfolio would run off within a 12-month period. So the cash flow comes very quickly when valuing the portfolio.
Theodore Wright: Yes, about 30% of the portfolio would be remaining after a 1-year period. And our actual, call it hard servicing costs in a stable environment should be around 4.5% of the portfolio, something in that range.
Bradley Thomas: Great. So if I'm doing the math right, the loans are on the book at face value, at about $1.4 billion. On your balance sheet, they're discounted already, which totals, I think about $1.2 billion at that 12% reserve that I think you mentioned. Is that right?
Michael Poppe: That's right.
Bradley Thomas: So just to follow-up, Mike, as you look at the marketplace, do you have a sense of what the typical discount is for installment loans like this, with this level of FICO score?
Theodore Wright: We don't know. As we said in our release, we do not have a completed transaction in place and we'll see what the process yields. So we don't know. Much of the valuation depends on what that discount rate would be, but again, I would say there's a lot of interest in a high -- potentially high-yielding short-lived asset.
Bradley Thomas: Great. And then just to connect the dots to the income statement, in a scenario where you were able to sell off, hypothetically, all of today's loans, what would be the effects that we would see on this year's income statement?
Theodore Wright: The effect in the retail segment income statement would essentially be -- well, before I try to dig into the details, without knowing the actual transaction, it's hard to come up with a hypothetical impacts to the statement, but I think our segment disclosures give you good insight into the relative allocations between those 2 segments and should allow you to estimate what the potential impacts could be in different scenarios.
Operator: Our next question comes from that line of John Baugh from Stifel.
John Baugh: I just want to be clear. So the exit of video, camera, et cetera, that's included in your comp guidance assumption?
Theodore Wright: Yes.
John Baugh: Okay. And is there a way to -- think about you mentioned the charge-offs there are much higher...
Theodore Wright: And John, can I interrupt you just one second? It is included in our guidance, but keep in mind, it won't be -- the exit won't be fully implemented until the third quarter. So it's not a full year impact, it's only a partial year impact.
John Baugh: Understood. And then if I were to assume a full year or a fully flowed through impact to credit losses, what kind of -- relative to maybe a static terminal loss number, exiting these products would help how many basis points?
Michael Poppe: It would help in the neighborhood of -- give me just a second on that, John.
Theodore Wright: Do you have another question while he's. . .
John Baugh: I do. You'd mentioned, Theo, that sales, I think, since mid-March had improved after being weak, sort of mid-February to mid-March. Is that solely due to supply constraint related to the port getting better? Or some other factor?
Theodore Wright: Mostly port issues, but also weather, which affected us in the later part of February and early part of March as well.
John Baugh: Okay. And then my final question, while Mike is still searching for that, but I think it was a 1.1% year of origination in FY '15, which is sort of a first data point. And so commentary you had around the impact of some things relating to early, earlier charge-off, or higher elevated early stage charge-offs. Can you kind of go back and review what you said about that? It wasn't clear to me in how that may be impacting that first data point on the FY '15 originations on the static loss.
Theodore Wright: John, I'm not sure I 100% understand the question, but I'll give it a shot. First off, fiscal '15, because it's a yearly pool, is affected by the pace of growth that occurred during that fiscal year with the highest growth in the front part of the year, steadily declining over the years. So you have an annual pool that has a balance that's more weighted towards the early part of the year and therefore more weighted towards those accounts that would have had time to potentially get to charge-off. So that's a little bit of the mechanics of that, of how that pool might be affected. And then the other things that we commented are -- on are changes in account combination practices, which should cause fiscal '15 to liquidate more rapidly than fiscal '14 and fiscal '13 did. So more rapid liquidation resulting in an expected lower charge-off for that pool. And then in addition to that, we believe the changes to underwriting, as well as the changes to our re-aging policies, should allow more of the customers to stay current, make payments and ultimately pay off without ultimately resulting in a charge-off. And those changes took place over the course of the year or even in some cases subsequent to year end. And so would not be fully reflected in the results that we see for the fiscal '15 pool to date, at January 31, 2015.
John Baugh: Okay, so that 20 basis point, 10 basis point reference to, I believe it was FY '14 to '15, that was relating to the combination impact?
Theodore Wright: No, that was related specifically to the discontinuation of the sale of charged-off accounts.
Michael Poppe: We don't think that's a permanent impact to the terminal static loss rate, it's just a timing difference that we would expect to get those recoveries over time. And so it's going to shift. It's going to back-end load the recoveries and the static loss curve where, when we're selling, we're front-end loading the recoveries.
John Baugh: Understood. And did you have a guess, Mike, at that number?
Michael Poppe: I do. I think it will be 40 to 50 basis point benefit to the static loss rate. And what's -- sort of like the 18- and 24-month cash option when you're looking at a full-year period, you've got to get -- we still -- we will still have sales, and as Theo pointed out, we won't be out until third quarter, so there will still be some negative impact this year.
Operator: And our next question comes from the line of Brian Nagel from Oppenheimer.
Brian Nagel: So on the credit business, I wanted to maybe take a step back again. But if we look at the data, and now that you're reporting on a monthly basis, your 60-plus day delinquency rate. So if we look at that 60-plus day delinquency rate has been, I think by most measures, stabilizing and some of the information you gave us today suggests it's actually beginning to moderate versus year-on-year levels, but your static, the loan loss provision that hit your P&L is still elevated. How should we think about the relationship between those 2 data points and so to say, maybe the delayed effect of an improving delinquency rate on that loan loss provision?
Theodore Wright: The loan loss provision is a projection of expected future performance and a consideration in that projection is seeing sustained performance improvement over a period of time. So I think it's a question of the extent and period of improved performance, and how that will affect our expectation of future performance. And as we noted in the call, we don't expect a reduction in the reserve as a percentage of the portfolio in the first quarter of this year.
Michael Poppe: And the calculation is, as Theo points out, heavily weighted to actual, recent performance trends and so until we have more sustained improvement in performance, that won't flow into the preserving analysis.
Brian Nagel: Got it and then, on that same point then, as you've looked at that loan loss provision, and I haven't followed your company now for a while, is there -- has there been any type of philosophical change in how you project that? Is there an extra air of conservatism in there now, than you had maybe, several -- a few quarters ago, or is it basically the same philosophy?
Theodore Wright: It's certainly the same philosophy as a quarter ago. We haven't made any change to the basic process whatsoever since that time. And overall, I would say our process has fundamentally been similar for a long period of time.
Brian Nagel: And then just 1 follow-up or final question, going back to a prior question, with respect to the potential to sell the portfolio, just want to understand this correctly, so the idea would be, and again, I recognize there's no transaction announced and such, but you sell the portfolio today for a certain price and then going forward, there's some type of relationship established whereby you're continuing to sell loans, but Conn's is still essentially servicing those loans?
Theodore Wright: Yes, that's definitely the structure that we're talking about. Others could assist us in servicing those loans.  We might not, and we don't actually today service 100% of the loans. We do work with some third-parties on a portion of the portfolio. But we would retain the ability to service the loans in order to maintain our competitive advantage in any structure.
Operator: And our next question comes from the line of Rick Nelson from Stephens.
Rick Nelson: Just to follow-up on that, Theo. When Target sold their receivables, they had an agreement with TB to underwrite fund risk managed portfolio, Target continues to service those receivables. Is that the type of arrangement when you say more the underwriting, the funding being continued to be done by accountants?
Theodore Wright: I think the simple way to think of it is, we would not continue with the funding, but we would continue to have input into the underwriting and servicing and as I said, have the ability to, under any circumstances, both underwrite, originate and service the portfolio.
Rick Nelson: Got you. And the decision to maintain the store growth 15 to 18 stores, if you could provide some color, what was behind that? It seems that the portfolio growth was 1 of the challenges that the company had.
Theodore Wright: Yes, the decision behind that is we believe it's still an opportunity to create value for our stockholders and to earn an attractive return on investment, with returns above our cost of capital. So that's the fundamental, including equity cost capital, that's our fundamental basis for the decision and portfolio growth was clearly a factor in our performance deterioration, but at the point where portfolio growth really affected our ability to execute, we were growing the portfolio at a 40% or 50% growth rate, and what we're looking at now, with slightly less productive stores is more along the lines of a 15% to 20%, probably closer to 15% than 20% portfolio growth rate, which we believe we're well positioned to manage and have taken the steps to be in position to manage effectively and have the capital to support.
Rick Nelson: And if you could provide some color on the balance per customer, you report in your documents the balance per active account, and how that is trending per customer?
Michael Poppe: Yes, it actually has not changed this quarter from what we talked about last quarter, it's maintained fairly static.
Rick Nelson: And the average?
Michael Poppe: I'm sorry. Go ahead, Rick?
Rick Nelson: And Mike, do you think those high balances per customer are contributing to credit challenges?
Michael Poppe: No, we don't -- we boil it down to a payment. They're more focused on the payment, and their payment is that, at a customer level, is in the $120 to $130 range and is not -- but about $20, $25 higher than our long term average. So it's not a huge change in their monthly payment obligation.
Operator: Our next question comes from the line of David Magee from SunTrust.
David Magee: So the -- just to sort of piggyback on a prior question there. If you are able to hit the numbers this year in terms of, sort of the broad parameters that you've outlined for 2000 -- or fiscal 2016, do you envision opening up a similar number of stores next year?
Theodore Wright: We do.
David Magee: So you're actively right now working on next year's plan, in terms of new store additions?
Theodore Wright: Yes, we included that in our comments. We're working on fiscal 2017, as well as finalizing their plans for 2016.
David Magee: And could you comment on just your satisfaction level with the stores that are newer on the East Coast, in the Carolinas and in Tennessee?
Theodore Wright: I'll tell you, overall, we're satisfied. We have a couple of markets there where we opened 1 store in a market that ultimately, as in the case of Charlotte, may have 5 markets. So we dialed back the advertising investment in those markets and the store, I'll use Charlotte as an example, is still doing quite well. But would -- as we opened the additional stores in that market, one of which opens here shortly, we'll start to be more aggressive. We have some stores in the east that are doing really well. Memphis has been exceptionally strong for us, and even there we're not fully opened. So overall, I think we are satisfied. As I commented though in my prepared comments, I think we have work to do on execution in all of our new stores, particularly with training of new sales associates and managers and the related turnover. I think we have opportunities to prove -- improve execution and we've been working diligently over the last several months to develop plans to improve our execution. So overall satisfied, but definitely room to improve, and I would limit that to -- I would not limit that to stores in the east. I think we have some execution opportunities in all of our stores that have recently opened.
David Magee: And lastly, the -- you mentioned earlier, a staff loss goal of about 8%. And I'm just curious, is that something that you see happening in a 2- or 3-year time period, or -- how would you sort of judge the -- how long it'd take for you to achieve that goal?
Theodore Wright: I think we're going to need time to pass, and have greater visibility of the impact from the changes that we've made already, like increasing originations to prime credit rated customers, the elimination of some of these product categories and other changes that we made to underwriting and collections practices. So my best answer is, we don't know, but to the extent that we're not -- we don't feel like we're moving in that direction, we're going to continue to make adjustments.
David Magee: I think Mike had said that the bad debt provision might be -- would be similar in the first quarter to -- or was the fourth quarter? Did I hear that correctly?
Michael Poppe: I said the reserve balance would be similar with slower growth in the portfolio balance that we've talked about in the past. The faster it grows, the more inclusions to provisions. When I talk about the fact that the portfolio balance would be relatively flattish for the quarter.
David Magee: Would you care to say for the second and third quarter, sort of generally speaking, how you expect that to unfold?
Michael Poppe: No. Appreciate the question, though.
Operator: Our next question comes from the line of Scott Tilghman from B. Riley.
R. Scott Tilghman: Still on the bad debt provision question, but looking backwards, within the release, you commented that the increase in balances originated during the fourth quarter created some pressure. Is there any way to sort of capture the magnitude of what that pressure was with the higher new balances, recognizing that you do have an upfront bad debt provision with those?
Michael Poppe: We have generally equated a, there's a 30% increase in the balance, and so we have generally equated that to probably something in the neighborhood of 200 to 250 basis points increase in the -- it puts pressure on the provision rate versus nova.
R. Scott Tilghman: Okay. And the -- I'm sorry, was that off balances, or is that off new origination balances?
Michael Poppe: Off of -- looking at just total balance growth.
R. Scott Tilghman: And the other question I wanted to ask, because of my others have been asked at this point. Just looking at the charge-off rate going into first quarter, it seems like a fairly high level after seeing what you had in fourth quarter and recognizing that delinquencies are coming down, you have a higher proportion of the high FICO score no-interest customers. How should we think about the charge-off rate going forward? Is this sort of a last push through, and we should see it getting a little bit better?
Michael Poppe: First quarter will still be similar to fourth quarter, which is what we indicated in our guidance. And then we would expect to start seeing improvement as we go further in the year.
Theodore Wright: And first quarter is, as we pointed out in our comments, impacted by the discontinuation of charge-off -- charged-off loan sales, and we've commented that, that impacted the charge-off rate if you're comparing to the earlier periods in the company's history of 80 to 100 basis points, if I'm remembering that right.
Michael Poppe: Yes.
R. Scott Tilghman: And then one quick question on retail. If I remember correctly, the free delivery, the ending of the rebates kicked in around May of last year. Am I right in recalling that, that was about a 1% comp drag?
Theodore Wright: You are correct, because the delivery charges that we realized are reflected in sales, and it was a comp drag.
Michael Poppe: Scott, one quick follow-up to your initial question about the impact of growth and I was looking at the year-over-year growth rate on the portfolio of 30% but the portfolio grew about 10% to 15%, 10% in the quarter, and that would contribute in the quarter more like 100 to 150 basis points. Sorry for that correction.
R. Scott Tilghman: Right. And like I said, I was asking about the increase in new originations.
Michael Poppe: Yes, and that's all...
R. Scott Tilghman: Rather than just pure growth.
Michael Poppe: Right. And we looked at it more, in just how it impacts total portfolio growth, because the provision is based on projecting out where the balance at the end of any given period is, how it's going to runoff over the next 12 months. And so a factor in that is how big is the portfolio balance and the projection.
Theodore Wright: And one last comment is the charge-off rate would typically, on the same balances, decline over the course of the year because of the portfolio growth, so the normal seasonal pattern is that the portfolio grows after the end of the first quarter, and so that does affect the calculated charge-off rate as well in those periods, generally pushing the charge-off rate down.
Operator: Our next question comes from the line of Andrew Hain from Baird.
Andrew Hain: A couple of quick numbers. Can you just remind me the static loss rates for, historically for 2012 and '13?
Michael Poppe: 2013, we are currently sitting at 8.3%, and we projected that to land around 8.6%. And fiscal '12 was -- is at 6.6%, and Mike moved up another 1/10 or so from there, but it's basically done.
Andrew Hain: Okay, and just apologize, could you just also then just give me, I think you threw these out there, but what are your current expectations for '14 and '15? And then what would just be your longer-term expectations? So just 3 more numbers there, sorry.
Michael Poppe: So fiscal 2014, we said in the comments we think around 10.5%. Fiscal '15, we haven't set a specific target yet, but we believe it will be inside of the fiscal '14, better than the fiscal '14 performance. And then our long term goal is 8%.
Andrew Hain: In the -- just a couple of other ones. If you are successful in monetizing the loan portfolio, what are the limitations as to the use of proceeds?
Theodore Wright: The limitations that we have under our existing credit agreements are detailed in those agreements and we haven't -- we don't have a specific transaction and have not worked through the use of proceeds, but if we sold the whole portfolio, it would yield cash amounts that are considerably larger than all of our liabilities, and so it would give us the opportunity to explore a number of different alternatives.
Andrew Hain: Okay. And then the -- just given that we're -- maybe you gave this, and I apologize, given that we're 2/3 the way through the first quarter, do you guys have an estimate for same-store sales in the first quarter?
Theodore Wright: We do not. And we've historically provided same-store guidance on an annual period, not quarterly, in any event.
Michael Poppe: We did report February at the beginning of March, and we will report March same-store sales on April 9.
Operator: Our next question comes from the line of Michael Cohen from Opportunistic Research.
Michael Cohen: Could you provide a little bit more detail on the account combinations and what percent of accounts historically have been combined and what percent of the remaining balances existed on the loans -- of the original principal balance were on the loans that were combined?
Theodore Wright: I'm not sure we can provide to you that detail at this time, but our historical number of accounts per customer was about 1.1, so almost all accounts with repeat customers were combined. At one point, we have reached about -- closer to 1.3 accounts per customer, even with fewer repeat customers in the portfolio and that's been trending down, and we would expect the number of accounts per customer to trend down towards the historical norm, although given our store opening plans, we would not expect to get all the way down to 1.1 accounts per customer.
Michael Cohen: Okay, I guess I'm coming at it from a slightly different perspective. What I'm trying to understand is, what percent of the sort of payoffs are due to account combinations?
Theodore Wright: It's a significant percentage of the total payoffs.
Michael Cohen: So like when you list in your static data, for example historically, about 94% of balances were paid back during the era, and prior to Synchrony. And then obviously that's changed a little bit over the past few years. What percent of the payoff of a given vintage was due to an account combination?
Theodore Wright: I'm not sure we know the answer to that question. Certainly I haven't calculated for all those years' pools, but account combinations, given our higher rate of repeat purchase are a significant component of customer payoffs and have always been, even in more recent periods, one of the ways in which customers resolve their accounts.
Michael Poppe: And about 10% to 15% of the balance originated over the last few years has been the existing account that was added on to the new account.
Michael Cohen: That's helpful. I mean, that sort of gives you some degree of order of magnitude. And then, I guess sort of -- you guys described a lot of the factors that are going to contribute to improving credit performance on a go-forward basis. Such -- almost that one could kind of look at this and sort of say, "Well gee, it seems like the pig is passing through the python," and in that context, if the worst is kind of behind you with the existing book, why the rationale to sell it?
Theodore Wright: And so I think the straightforward rationale was included in my comments. If we can sell the portfolio, it has the potential to significantly change our financial profile, dramatically increase our returns on shareholders' capital and reduce earnings volatility, at least in the short term. So without regard to the condition of the credit portfolio, sale of the portfolio has the potential to be a significant change to the structure of the business that creates value for shareholders.
Michael Cohen: Understood. That makes sense. And then last question, I guess in past proxy statements, you guys have detailed the fact that you -- the bonus component, based on hitting various net income targets, and I know you guys noted that you didn't hit those levels for fiscal '15. Do you know what those numbers will be for fiscal '16 for management's full attainment of bonus, as well as sort of the incremental bonus for exceedingly good performance?
Theodore Wright: Yes, for fiscal '15, for our tenured named executives, there was no bonus under our existing plan. And we have adopted the goals for fiscal 2016. And we detail some of those in our proxy, which will be filed shortly.
Michael Cohen: Great. So the fiscal '16 bonus targets will be available in the proxy that's going to be filed tonight?
Theodore Wright: It's not going to be filed tonight. The proxy isn't, but we will disclose the targets for 2016 in a manner similar to what we've done in the past.
Operator: Our next question comes from the line of Marcelo Desio from CrossLink.
Marcelo  Desio: Have you been contacted by the CFPB at all in any way? And if so, or even if they haven't, are they -- the new regulations, what part of your business will that affect in general?
Theodore Wright: We've commented on that in our prepared comments, and the proposed new regulations based on our reading and interpretation would not affect Conn's, and we've not been in communication with the CFPB.
Marcelo  Desio: Okay. And then they haven't contacted you at all, in any way?
Theodore Wright: That's correct.
Marcelo  Desio: Okay. And then so what does the business model look like going forward without the financing business? You're just -- you're planning just to be a pure retail company?
Theodore Wright: Yes, as we mentioned before, we would continue to have the ability to originate and service loans. We wouldn't necessarily hold those loans on our balance sheet, but credit is our competitive advantage and we're not exiting the credit business.
Marcelo  Desio: So then what is the revenue and profit stream from -- look like for that servicing?
Theodore Wright: Yes, as we pointed out, the revenue and profit stream, you could infer from our segment disclosures on the retail segment with some adjustments, depending on the form of the transaction. At this point, we don't have a specific transaction or term, so we can't present what that would look like, but I think that information is available in the segment disclosures in our financial statements.
Operator: And our next question comes from the line of Ben Clifford from Nomura Securities.
Ben Clifford: I guess the first one is, on the rent-to-own side of the business that the Acceptance Now takes on, is it true that they pay you full retail price when you send the customers over there? And they convert them into a sale? And if so, why don't you send more customers that way?
Theodore Wright: Yes, it's generally true that we receive the same amount on the sale of a product to Acceptance Now as to a customer. There could be some instances where we pay a discount, essentially change the program to allow customers to pay off early. Why don't we send more customers there? The simple answer is the closing rate would be lower. So we would sell less product, and also the customer who can qualify for Conn's credit has a much lower monthly payment, a more affordable payment that's a better deal for the customer, and is more likely to result in repeat purchases for Conn's.
Ben Clifford: That's good commentary. This next question, on your insurance commission revenue. Is that subject to any change going forward, in terms of regulatory risk? Or how that is actually marketed to the customer? Just any thoughts around that.
Theodore Wright: I think like everything we do in the consumer finance area, it's subject to potential regulatory risk. We're not aware of any changes, and our sale of credit insurance is predominantly property insurance, and we require the customers to have property insurance, but they're not required to purchase it from us. So we're similar to any typical auto lender or mortgage lender or others.
Ben Clifford: Okay. That makes sense. And just -- can you help me reconcile 2 numbers for modeling purposes. In terms of your retail sales that were financed by the finance in-house, it looks like you came to about $872 million for this year? And then when I look at the originations that you report, it's more like 13, 17. I was just wondering, what makes up the difference there, besides like a sales tax item?
Michael Poppe: So you got sales taxes, also you got credit insurance premiums, which you don't see in retail sales. So those will be in the amount financed. The repair service agreement, what you see on the income statement is our commission, not the selling price to the consumer so there's a bump up there. And then referring back to our conversation earlier about adding on existing accounts, that they combine their existing account, that will roll then to the origination amount so all of those components result in the difference between what you get off the income statement, and what we are -- the balance we originate.
Ben Clifford: Okay. And I guess one last question. When you're talking about the credit portfolio, and the inputs in terms of selling that, I think you mentioned something about charge-off rates in the mid-teens. I was just wondering how you can reconcile that with your guidance going forward?
Michael Poppe: That is just the -- all that number was is an estimate of the expected losses in the portfolio at a point in time, for the remainder of the life of the book as opposed to an ongoing portfolio, and the provisioning for continued originations.
Ben Clifford: Okay, that makes sense.
Theodore Wright: Just to be sure we're clear there. Our provision for bad debts does not, for all accounts or even for most accounts, include the full life of the loans. It includes only a 1-year period of expected charge-offs, so it's not a full life methodology that's on our books. All right. Well thank you, very much. Thanks, everyone, for joining on the call.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a good day.